Operator: Greetings and welcome to the First Quarter Fiscal Year 2023 Earnings Call for Adtalem Global Education. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Chandrika Nigam, Senior Director of Investor Relations. Thank you. You may begin.
Chandrika Nigam: Thank you. I'd like to remind you that this conference call will contain forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995, with respect to the future performance and financial condition of Adtalem Global Education that involve risks and uncertainties. Actual results may differ materially from those projected or implied by these forward-looking statements. Potential risks, uncertainties and other factors that could cause results to differ are described more fully in Item 1A Risk Factors of our most recent annual report on Form 10-K filed with the SEC and our other filings with the SEC. Any forward-looking statement made by us is based only on the information currently available to us and speaks only as of the date on which it was made. We undertake no obligation to publicly update any forward-looking statements, whether written or verbal, that may be made from time to time, whether as a result of new information, future developments or otherwise, except as required by law. During today's call, our commentary will refer to non-GAAP financial measures, which are intended to supplement, do not fully substitute for our most direct comparable GAAP measures. Our press release, which contains the GAAP financial and other quantitative information to be discussed today, as well as the reconciliation of GAAP to non-GAAP measures is available on our website. Please note that all financial results and comparisons made during today's call are on continuing operations basis, exclude special items and are in comparison to the prior year period, unless otherwise stated. Telephone and webcast replays of today's call are available for 30 days. To access the replays, please refer to today's press release. We'll begin today's presentation with prepared remarks from Steve Beard, Adtalem's President and Chief Executive Officer; and then hear from Bob Phelan, Senior Vice President and Chief Financial Officer. Following the prepared remarks, we will have a question-and-answer session. And with that, I'll now turn the call over to Steve.
Steve Beard: Thank you, Chandrika. Good afternoon, everyone, and thank you for taking the time to join our first quarter 2023 earnings call today. As I reflect on the earnings call from a year ago at this time, we were embarking on a journey to reposition ourselves as a national leader in postsecondary education and a leading provider of professional talent to the health care industry. As I speak to you today, we've made great progress on that journey. Today Adtalem is made up of high-quality institutions, with market-leading brands, led by experienced management and supported by a best-in-class team. For the fiscal first quarter, we delivered revenue of $355 million and adjusted earnings per share of $0.88, with adjusted EBITDA margins of 23%, reflecting a 560-basis point improvement over the prior year. Despite the pandemic-related headwinds facing our sector, we delivered first quarter results largely in line with our expectations. These outcomes are a testament to the resilience of our colleagues and their ability to deliver operational improvements in a dynamic and challenging environment. I'm particularly impressed by the team's execution in divesting our non-core assets and successfully integrating Walden. These efforts created opportunities for significant margin expansion and a thoughtful approach to capital allocation, focused on debt repayment and share repurchase. And while it may be some time until we enjoy a fully normalized demand environment, our results reflect the determination to deliver on our objectives. As we move into year two of the Walden integration, I'm encouraged by the continued momentum we enjoy. Walden has proven to be a catalyst for integration and synergy capture across the enterprise. Although, enrollments, particularly in post-licensure nursing, were negatively affected by headwinds related to the pandemic, we do expect to see some improvement in year-over-year enrollment trends in the second half of our fiscal year, with the opportunity to grow revenue in a more efficient model and with improved operating leverage. I remain pleased with our progress in driving improved operational effectiveness across the enterprise. Leveraging the foundation that was laid over the past year, we continue to grow into our new operating model, which is designed to maximize operational efficiencies and strengthen our competitive differentiators. On the student experience front, our efforts are centered on improving persistence. We're expanding our use of student engagement data to deliver timely and personalized props to students based on indicators we track and then share with their faculty and student advisers. Early returns on these initiatives have been encouraging. In marketing, we're making good progress in sharing and implementing best practices across all of our segments. And we're building scalable capabilities in branding, paid media, database marketing and our web experience, which we believe will further optimize our marketing spend. And finally, as we complete -- as we approach the completion of our integration and our synergy capture work, we've begun to shift our focus to a series of transformational initiatives as part of our growth with purpose program, designed to accelerate our performance across critical value-creating activities, enabling us to realize the full potential of our portfolio of assets. And while we're still in the early stages of this effort, we're confident that the results will prove compelling. Taken together, we believe these efforts position us well with a more favorable demand environment returns. We believe a return to sustainable top line growth, combined with a more profitable operating model and prudent capital allocation is a winning formula for all of our stakeholders. Shifting gears to academic highlights. I'm extremely proud of the work the team has done to further our mission of expanding access to high-quality education. During the quarter, our two medical schools American University of the Caribbean and Ross University School of Medicine, partnered with the Southern California University of Health Sciences to enhance educational pathways for aspiring physicians. In addition, Ross University School of Medicine collaborated with the historically black Bethune-Cookman University, creating pathways for students for minority backgrounds to fill critical physician shortages. And finally, Chamberlain University announced a transition agreement to help recently displaced nursing students from Strafford University to continue their education and achieve their professional ambitions. It's one of the benefits of our unique scale and national reach that we can support these displaced nursing students and in doing so, empower them to help fill critical workforce gaps and make meaningful contributions to the profession. The U.S. Department of Education recently released data on cohort default rates which is a key indicator of program efficacy for higher education institutions. Adtalem institutions came in well below the for-profit and overall national averages for default rates which is representative of the quality of our programs and the employability of our graduates. I'm also pleased to share a few of the outstanding accolades received by our faculty. Dr. Augusto Ferreros, a member of the Walden faculty was awarded a Fulbright Scholarship considered to be one of the most widely recognized and prestigious scholarships in the world. The Dean of the Ross University School of Veterinary Medicine, Sean Callanan was selected as a fellow of the Royal College of Veterinary Surgeons, for his outstanding contribution to the profession and clinical practice. Dr. Callanan was one of eight such fellows, recognized for his work to advance education and scholarship. Ross University School of Veterinary Medicine, Department Head of Clinical Sciences Hilari French was appointed to the International Counsel for Veterinary Assessment Board of Directors which administers examinations in over 60 countries. Dr. French's prestigious appointment, honors our commitment to ensuring students have the necessary skills to successfully practice veterinary medicine. These accolades are a testament to the strength of our faculty and their commitment to our students. As you've heard me say before, we believe that our scale and health care focus uniquely position Adtalem to play a significant role, in expanding access to higher quality academic programs, advancing health equity and addressing critical workforce shortages in underserved communities.  And on that note, I'm happy to share that we recently released our 2022 sustainability report. The report includes our first comprehensive materiality assessment to clearly define our ESG priorities, which support and reinforce our values and will continue to guide us as we advance our ESG agenda over the coming years. And now moving to our outlook for the balance of 2023, with respect to enrollment it remains a challenging time for the higher education industry overall which is operating in a macro environment marked by high-inflation and a tight labor market. As we previously indicated, post-licensure nursing enrollments have been particularly challenged as that population of prospective students recovers from the high-pressure demands of the pandemic. Nonetheless, we continue to refine our recruitment and retention strategies and are closely monitoring market signals affecting demand. A few modestly encouraging indicators include, the fall 2022 preliminary enrollment data published by the National Student Clearinghouse which indicated a reduction in the rate of decline of enrollments compared to 2021. In addition we're seeing improving trends in online search for nursing programs, after over a year of decline which we think is indicative of improving market dynamics. Finally, we continue to see year-over-year improvement in persistence across all of our segments. In light of these indicators, we are still cautiously optimistic that the demand environment will improve in the latter half of fiscal 2023, which would enable us to leverage the benefits of the investments we're making now. And those investments are across the full range of enrollment and student support activities. On that basis, we reaffirm our fiscal 2023 guidance for revenue to be within the range of $1.38 billion to $1.45 billion and adjusted earnings per share of $3.95 to $4.20. Bob will provide some additional context on our guide in his remarks. In the meantime, we continue to be excited about what lies ahead for Adtalem. And with that, I'll turn it over to Bob, for a discussion of our financial results.
Bob Phelan: Thanks Steve. Today I'll review our financial results and key drivers for our performance in the first quarter. Later in my remarks, I will discuss our expectations and assumptions for the fiscal year 2023. Let's begin with the summary of our financial performance, starting with the top line. Revenue in the first quarter increased 23% compared with the prior year to $354.6 million, driven by the acquisition of Walden. As a reminder, Walden was only owned by Adtalem for a part of the first quarter during fiscal 2022. Consolidated adjusted operating income for the quarter was $65.1 million and adjusted EBITDA was $82.1 million, an increase of 79% and 63% respectively, compared with the prior year due to the addition of Walden and operating efficiencies. Adjusted EBITDA margin was 23.1% or 560 basis points higher, than the prior year. This continued year-over-year margin expansion was driven by operational efficiencies and the realization of cost synergies. Adjusted net income for the quarter was $41 million and adjusted earnings per share, was $0.88 or 151% higher than the prior year. Next, I'll discuss financial highlights by segment. The Chamberlain segment reported first quarter revenue relatively flat, at $135.4 million, when compared with the prior year and adjusted EBITDA of $33.8 million, up 25% from $27 million in the prior year. The increase in adjusted EBITDA was primarily the result of continued benefit from cost reductions implemented in the back half of fiscal 2022. Total student enrollment during the quarter decreased 4% compared with the prior year, which is primarily attributable to headwinds from the pandemic, particularly in our post-licensure nursing programs leading to fewer new starts. The headwinds experienced in post-licensure nursing were partially offset by continued improvement in enrollment in pre-licensure programs. Additionally, persistence across most of our programs, continue to improve as a direct result of our sharpened focus on the student experience. Turning to Walden, revenue in the first quarter was $130.9 million, compared with $68.6 million in the prior year. As I mentioned in my remarks earlier, Walden was only owned by Adtalem for a part of the year the first quarter during fiscal 2022. Adjusted EBITDA was $27.9 million or 108% higher than the prior year driven largely by the impact of owning Walden for the full quarter in FY 2023. Total student enrollment decreased 9.2% compared with the prior year, due to pandemic-related headwinds in our post-licensure nursing programs and declines in the management and technology programs which was partially offset by year-over-year improvement in overall student persistence. Overall, we continue to believe that demand for nurses will outpace supply over the longer term indicative of growth opportunities for us. In the Med Vet segment, we continued to deliver improvements in operational performance and financial results. Revenue in the first quarter increased 4.1% compared with the prior year to $88.3 million, while adjusted EBITDA was $21.9 million or 9% higher than the prior year, primarily driven by the increase in revenue. Total student enrollment increased 3.4% compared with the prior year which was primarily attributable to growth in new student enrollment and higher persistence in all our programs. Given the continued abatement of travel restrictions related to the pandemic and progress we have made in enhancing our enrollment and student support capabilities, we continue to expect a favorable environment for enrollment in this segment. Now, let's turn our focus to cash flow, balance sheet, and capital structure. Net cash provided by continuing operations was $91.5 million and capital expenditures totaled $5.5 million. As a result, free cash flow was $86 million, an increase of $63.2 million compared with the prior year. As a reminder, we define free cash flow as cash provided by continuing operations, less capital expenditures. During the quarter, we continued to progress on our financial strategy by deploying capital to strengthen the balance sheet. We repurchased $100 million of our Term Loan B and $1 million for outstanding notes, resulting in gross debt of $758 million and net leverage of 1.2 times as of September 30th. We have now reduced our outstanding debt by 54% from the same time last year. We intend to continue to strengthen our balance sheet and deploy capital to maximize returns for our shareholders, while we also focus on reinvesting in organic growth opportunities for our businesses. Moving on to our outlook, we are reaffirming our guidance of revenue to be within the range of $1.38 billion to $1.45 billion and adjusted diluted earnings per share of $3.95 to $4.20. I'd like to remind you about the calendarization of our expected financial results in fiscal 2023 wherein enrollments are expected to improve in the latter half of the year as we anticipate pandemic-related headwinds will begin to abate. Additionally, our initiatives and investments related to the new student enrollment and persistence beginning in the first half of the year and ramping up in the second quarter will gain traction throughout the year. Therefore, we continue to expect both revenue and adjusted EPS to improve to a greater degree in the second half of fiscal 2023 and our second quarter financial results to be relatively consistent with our first quarter. We also continue to expect to deliver $30 million of additional cost synergies during fiscal year 2023. Over the last few quarters, we've demonstrated our ability to consistently deliver improved financial results, while also enhancing our balance sheet despite the challenging business environment. We continue to make progress on our strategic goal to drive sustainable operational and financial improvements which position us well for the future. With that, I will now turn the call over to the operator for Q&A.
Operator: Thank you. We will now conduct a question-and-answer session. [Operator Instructions] Our first question comes from Jeffrey Meuler with Baird. Please go ahead.
Steven Pawlak: Hi, thank you. It's Steven Pawlak on for Jeff. I want to dig into the second half improvement in post-licensure enrollments. I appreciate the color you guys gave. Just wondering I guess if you can give us some more detail I guess how do some of the metrics you're seeing compare to 2019 or sort of pre-pandemic? And then are you seeing the green sheets in applications, or right now is it still is early signs?
Steve Beard: So, we're seeing improvements in overall search category broadly fine. We are seeing some modest improvements in increase as well. That is yet to translate into meaningful upticks in applications, but we anticipate that to improve over the course of the back half of the year. That's a post-licensure. In pre-licensure, obviously, where we believe the recovery in nursing would have consumers. We're seeing good developments in both applications and enrollments on that front. As we said before, we expect post-licensure to lag, but we do expect it to come back in a meaningful way. And then we think our exposure to that part of the market is actually a source of strength for Adtalem.
Steven Pawlak: Okay. And when you talk about the second half improvement are you talking about total enrollments or -- I know you stopped giving new enrollments but is that what you're referring to? 
Steve Beard: Well, we obviously don't report out on new enrollments, but we're expecting improvements in new [indiscernible] over the course of the fiscal year.
Steven Pawlak: Okay, great. And then, the margin improvement year-over-year was pretty good. So I'm just hoping to get some more detail like some of the individual drivers. The synergies some of the marketing best practices operational improvements, you guys have talked about. Maybe you guys can help sort of break down, which are contributing more to the margin improvement? And I guess any more detail there would be great.
Steve Beard: Yes. So the first place goes to the synergy capture related to the Walden integration. As you know, we indicated a target of $60 million in run rate cost synergies over the first two years of our ownership of holding. As we previously reported, we realized that in year one and we're confident that we'll realize the second tranche at an year two and that's been a big driver. The other thing that we've highlighted is that, because we're now operating a family by time businesses, we've got synergies that go across the portfolio. We're taking advantage of ways that we can share resource for those by time businesses in a way that runs a much more efficient models, whether it's centralized marketing, whether it's everything we're doing, centralizing our customer experience efforts, we're able to get economies of scale in the centers that allow us to get even better profitability out of the business. And that's a durable profitability, because again, unlike the prior innovation of our business where we're supporting vastly different operating models with financial services and other businesses, we're now able to be much more efficient with the Greek granting institutions, all with the center of granting healthcare. So it’s the direct cost synergies related to roll in that integration as well as our ability to support the broad portfolio on similar platforms and do so in a much more efficient way.
Steven Pawlak: Appreciate color.
Steve Beard: Thank you.
Operator: Our next question comes from Jeff Silber with BMO Capital Markets. Please proceed.
Unidentified Analyst: Hey. Good afternoon. This is Ryan on for Jeff. Just another expense question. Was there any cost shifting from the first quarter into later quarters of the year?
Steve Beard: Yes. There was a little bit of cost shifting from the first quarter into the second. So what I would tell you is that we're making some investments towards the admissions and enrollment side of things that we did not have in the first quarter. And then, in addition, there may be a slight uptick as well in the marketing investments that we'd be making also.
Unidentified Analyst: Got it. And then I just had a question on the med and veterinary. Should we kind of assume that the current growth will continue, or is that still in recovery mode recouping some of the -- some market share?
Steve Beard: So it was always our expectation that the Med/Vet segment would recover from an enrollment perspective. First, because of the nature of the headwinds there, which were largely driven by the dislocations of COVID, the inability to get people back to island for in-person instruction. Those have all abated and that segment probably has the least encumbered path ahead. So we're really encouraged by the uptick in enrollment and it's something that we expect to continue modestly throughout the rest of the fiscal year.
Unidentified Analyst: Understood. Thank you.
Operator: Thank you. At this time I would like to turn the call back over to management for closing comments.
A - Steve Beard: Again, I would like to just thank all of our colleagues across the day with Adtalem institutions. We are encouraged by what we're seeing in the market and we're really proud of the work that everyone is doing to position us to take real advantage of what we hope is a normalizing demand environment. So, thank you for your time and attention, and most importantly thank you to all the hard work of all our family and colleagues across Adtalem. Have a great evening.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation.